Operator: Mhmm. Please standby. Your program is about to begin. If you require audio assistance today, please press star and zero. Good afternoon. My name is David, and I will be your conference operator. At this time, I would like to welcome everyone to Intuit's First Quarter Fiscal Year 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer period. With that, I will now turn the call over to Kim Watkins, Intuit's Vice President of Investor Relations. Ms. Watkins, thank you.
Kim Watkins: Good afternoon, and welcome to Intuit's first quarter fiscal 2025 conference call. I am here with Intuit CEO, Sasan Goodarzi, and our CFO, Sandeep Aujla. Before we start, I would like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit's results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2024, and our other SEC filings. All of those documents are available on the investor relations page of Intuit's website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in these remarks are presented on a non-GAAP basis. We reconciled the comparable GAAP and non-GAAP numbers in today's press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period, and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I will turn the call over to Sasan.
Sasan Goodarzi: Great. Thank you, Kim, and thanks to all of you for joining us today. It was wonderful to see many of you at investor day. We hope you were inspired by our momentum and innovation that demonstrates the power of our AI-driven expert platform strategy, which is delivering tangible benefits for our customers and fueling Intuit's growth. With that as context, let's talk about the first quarter. We have a strong start to the year, growing revenue 10% driven by our Global Business Solutions Group online ecosystem revenue growth of 20% and Credit Karma revenue growth of 29%. We are confident in delivering double-digit revenue growth and margin expansion this year, and we are reiterating our full-year guidance. The future is here, and it's AI-driven. It will fundamentally transform every part of our work and personal lives. We have transformed the company from a tax and accounting platform to an AI-driven expert platform. We are leading this transformation by creating done-for-you experiences where the customer is always in control. Enabled by AI with access to AI-powered human experts, our platform fuels the financial success of consumers and businesses. We have a significant competitive advantage with our scale of data, data services, AI capabilities, ecosystem of applications, and our large network of AI-powered virtual experts. We are disrupting the categories we operate in to drive better money outcomes for consumers and businesses. The progress we have delivered and the proof points we are observing continue to bolster our confidence in our strategy. I will now share how our big bets are solving customer problems and powering our success as a platform. Starting with our consumer platform, Big Bet three is focused on helping customers make smart money decisions, take steps to improve their financial health year-round, achieve their best tax outcome, and accelerate the receipt of their refund. We are focusing on winning as an AI-driven expert platform by leading with ease of use, speed to completion, and best price for our customers. Our strategy is to first win in the do-it-yourself tax category by improving value for low-income filers, accelerating growth with more complex filers, and offering fast refund access. Second, we are disrupting the assisted tax category. We are showing how the new way of taxes done for you is superior in experience, speed, and price. We have expanded marketing to drive awareness ahead of tax season and are working on methods to surface our experts in local search and match customers with the best expert for them. Third, we are driving year-round engagement with our consumer platform, accelerating money benefits, including refund access, and growing Credit Karma across our verticals such as Prime and insurance, all of which accelerates monetization. Moving on to our business platform, our vision is to help customers run and grow their businesses end-to-end. We made significant progress during the quarter across two of our big bets. Our first bet is to revolutionize speed to benefit, delivering done-for-you experiences with Intuit Assist, our Gen AI-powered financial assistant. After successfully piloting Intuit Assist with over two million customers, it is now generally available to all US QuickBooks online customers. To help businesses manage cash flow, Intuit Assist uses AI agents to automatically turn emails, electronic documents, and handwritten notes into estimates, invoices, and bills. It spots potential cash flow shortages in real-time and suggests solutions like applying for a line of credit. It also generates invoice reminders to help customers get paid 45% faster, an average of five days sooner, and automates accounting by matching transactions to bills and invoices for review. This is the power of our AI-driven expert platform, delivering tangible benefits to our customers, which we expect to drive increased adoption of our platform, and we are just getting started. Shifting to Big Bet five, disrupts the mid-market, which represents an $89 billion TAM. We already have 800,000 mid-market customers in our franchise, who can grow into our QBO Advanced and Intuit Enterprise Suite offerings. In fiscal year 2024, QBO Advanced customers moved 28% online ecosystem revenue grew 36%, and ecosystem ARPC was 5x that of the rest of the QBO base. We introduced Intuit Enterprise Suite or IES to expand further upmarket from where we are today with a configurable suite of integrated financial products for mid-market businesses. With IES, focusing on addressing the needs of complex businesses enabling multi-entity management, leveraging AI agents to boost productivity through powerful automation, and delivering actionable insights. While it's early days, I will share two customer examples that highlight the opportunity ahead and give us confidence in our strategy. We signed an eight-entity RV park operator with approximately $10 million in annual revenue, who was evaluating competitive solutions to streamline its workflow and consolidate reporting across entities. With the seamless upgrade to the IES platform, the company went from outsourcing its multi-entity reporting to a fractional CFO, which took several days, to being able to do this on its own in just five minutes now. With this data immediately accessible and at its fingertips, the company can make the decisions it needs to run and grow its business. Their CTO referred to IES as a game changer for their business and values the relationship-based AI-powered support. We also recently signed an economic development organization with more than $60 million in annual revenue across eighteen corporate entities. As part of its IES contract, this customer also adopted bill pay, payments, and payroll. For customers like this, having all of these services in a single platform solves many challenges by seamlessly integrating data that previously came from multiple app endpoint solutions, helping them streamline operations and save time. Last month, we hosted our first-ever Intuit Connect conference with more than two thousand attendees, including mid-market businesses and the large accounting firms that serve them. We showcased our vision for an end-to-end business platform that fuels revenue and profitability growth for our business customers and the success of accountants. We spotlighted IES, and the initial reaction we received at the event was overwhelmingly positive. Customers that have already been using the offering are strong advocates, sharing that IES is helping them see how their business is performing, saving them time, and helping them make the decisions they need to improve growth and cash flow. In addition, current customers are finding it easier and less costly to upgrade to IES than switch to an entirely new platform. We are excited more than ever to serve this $89 billion mid-market TAM to fuel the success of large businesses and accountants. Wrapping up, we are honored to be ranked number three on Forbes America's best companies list, which came out this month. Forbes evaluated the nation's largest public companies and considered factors such as financial performance, trust, and customer and employee satisfaction. With the progress and momentum we are delivering, we continue to believe we are well-positioned to win as an end-to-end platform with done-for-you experiences that fuel the success of consumers, small, and mid-market businesses. Now let me hand it over to Sandeep. Thanks, Sasan.
Sandeep Aujla: We delivered a strong first quarter of fiscal 2025 across the company. Our first quarter results include revenue of $3.3 billion, up 10%. GAAP operating income of $271 million versus $307 million last year. Non-GAAP operating income of $953 million versus $960 million last year, GAAP diluted earnings per share of $0.70 versus $0.85 a year ago, and non-GAAP diluted earnings per share of $2.50 versus $2.47 last year. Our GAAP results reflect a restructuring charge of $9 million recognized in the quarter related to the organizational changes we announced in July and a $42 million net loss on a private company investment. Now turning to the business segments. Starting with the Global Business Solutions Group. Our business platform helps customers run and grow their business end-to-end. Global Business Solutions Group revenue grew 9% during Q1, driven by online ecosystem revenue growth of 20%, a two-point acceleration from the year-over-year growth we saw in Q4. This was partially offset by a 17% decline in desktop ecosystem revenue reflecting the desktop offering changes we made in early fiscal 2024, and highlighted last quarter. The momentum in our online ecosystem is demonstrating the power of a small and mid-market business platform and the mission-critical nature of our offerings as customers look to grow their business and improve cash flow in any economic environment. QuickBooks online accounting revenue grew 21% in Q1, driven by customer growth, higher effective prices, and mix shift. We continue to prioritize disrupting the mid-market. Through our focus on both go-to-market motions and product innovations, which we expect to continue to drive ARPC growth. Online services revenue grew 19% in Q1, driven by money offerings, which include payments, capital, and bill pay, payroll, and Mailchimp. Within money, growth in the quarter reflects higher payments revenue, which was driven by customer growth, higher effective prices, and an increase in total payment volume per customer. And QuickBooks capital revenue growth. Total online payment volume growth in Q1 was 17%. Within payroll, revenue growth in the quarter reflects customer growth, higher effective prices, and a mix shift towards higher-end offerings. Within Mailchimp, revenue growth in the quarter was driven by higher effective prices and paid customer growth. We are seeing good progress serving mid-market customers in Mailchimp but are seeing higher churn from smaller customers. We are addressing this by making product enhancements and driving feature discoverability and adoption to improve first-time use, and customer retention. While we feel good about the product work we are prioritizing, we are expecting it to take a few quarters to deliver improved outcomes at scale. In addition, beginning next quarter, we are lapping the price changes we made in Q2 of last year. We remain confident in and are executing on our vision of an end-to-end business platform that integrates the power of Mailchimp and QuickBooks group of services enabling our customers to both run and grow their business all in one place. We are executing our international strategy, which includes leading with a connected business platform in our established markets, and leading with Mailchimp in all other markets we continue to execute on a localized product and lineup. On a constant currency basis, total international online ecosystem revenue grew 10% in Q1. As we shared at Investor Day, we win as a platform company. Our online ecosystem revenue growth reflects the progress we are making with our strategy of serving both small businesses and mid-market businesses with more complex needs. This represents an addressable market of over $180 billion, roughly half of which is mid-market. In Q1, online ecosystem revenue grew 20%, including approximately 42% growth in online ecosystem revenue for QBO Advanced and Intuit Enterprise Suite. This reflects our progress serving customers with our mid-market offerings. Online ecosystem revenue for small business and the rest of the base grew a strong 17%. We are excited about our progress in serving mid-market customers while continuing to focus on small businesses. Looking ahead, we continue to expect online ecosystem revenue in total to grow approximately 20% in fiscal 2025. Turning to desktop. During Q1, desktop ecosystem revenue declined 17%, including QuickBooks desktop enterprise revenue, which declined in the low teens. As we described last quarter, Q1 desktop ecosystem revenue reflects changes the company made to its QuickBooks desktop offering in early fiscal 2024 to complete the transition to a recurring subscription model, including more frequent product updates. We continue to expect desktop ecosystem revenue to return to growth in Q2 and overall, we expect desktop ecosystem revenue to grow in the low single digits in fiscal 2025. Turning to a consumer platform, our consumer platform is helping customers make smart money decisions, take steps to improve their financial health year-round, achieve their best tax outcome, and accelerate receipt of the tax refund. Starting with Credit Karma, building on the momentum we saw each quarter in fiscal 2024, Credit Karma revenue growth accelerated to 29% during Q1, reflecting strength in personal loans, auto insurance, and credit cards. On a product basis, personal loans accounted for eleven points of growth, auto insurance accounted for nine points, and credit cards accounted for eight points. Insurance reflects the continuing strength we have seen in partner spend that started in Q3 of fiscal 2024. We are excited about the opportunity ahead for Credit Karma as we execute our strategy to drive engagement, accelerate money benefits across our consumer platform, and grow prime and insurance. Our vision is to create one consumer platform with seamless integration of TurboTax and Credit Karma products that delivers year-round benefits for customers and drives monetization for Intuit. We are excited by our significant progress this year. Moving to consumer and pro tax groups. Consumer group revenue declined 6% as we lapped the period a year ago that included the extended tax filing deadline for most California filers. Our focus this season is on ease, speed, and the best price. Our strategy is to win in DIY tax, disrupt the assisted tax category, and create one consumer financial platform by delivering year-end benefits leading to engagement and monetization. We launched new experiences during the extension season this year, and the results we saw further bolster our account. Turning to the pro tax group, revenue was $39 million in Q1, down 7% as we lapped the period a year ago that included the extended tax filing deadline for most California filers. In summary, I am pleased with our early momentum this fiscal year and our opportunities ahead. Shifting to a balance sheet and capital allocation. Our financial principles guide our decisions. They remain our long-term commitment and are unchanged. We finished the quarter with approximately $3.4 billion in cash and investments, and $6.1 billion in debt on our balance sheet. We repurchased $570 million of stock during the first quarter. Depending on market conditions and other factors, our aim is to be in the market each quarter to offset dilution from share-based compensation over a three-year period. The board approved a quarterly dividend of $1.04 per share payable on January 17, 2025. This represents a 16% increase per share versus last quarter. Moving on to guidance. We are reaffirming our fiscal 2025 guidance. This includes total company revenue growth of 12 to 13%, GAAP operating income growth of 28 to 30%, non-GAAP operating income growth of 13 to 14%, GAAP diluted earnings per share growth of 18 to 20%, and non-GAAP diluted earnings per share growth of 13 to 14%. GAAP guidance reflects an expected $14 million restructuring charge related to the reorganization we announced in July. Our guidance for the second quarter of fiscal 2025 includes total company revenue growth of 13 to 14%. This includes our expectation of a single-digit decline in consumer group revenue due to some promotional changes in retail channels largely related to our desktop offering. This only impacts revenue timing and does not impact overall unit or revenue expectations for fiscal year 2025. GAAP earnings per share of $0.84 to $0.90 and non-GAAP earnings per share of $2.55 to $2.61. You can find full fiscal 2025 and Q2 guidance details in a press release and on our fact sheet. With that, I will turn it back over to Sasan.
Sasan Goodarzi: Excellent. Thank you, Sandeep. We remain confident in our long-term growth strategy, including double-digit revenue growth and operating income growing faster than revenue. We have a durable advantage with our depth of data and AI capabilities and the strategy to win given the proof points we are observing. And with less than 5% penetration of our $300 billion in TAM, we have a massive runway ahead of us. Let's now open it up to your questions.
Operator: At this time, if you would like to ask a question, please press star and two. We will take our first question from Brad Zelnick with Deutsche Bank. Please go ahead. Your line is open.
Brad Zelnick: Great. Thank you so much for taking the question. And congrats on a strong start to the year. As we look through the mix, starting the year with about 20% online ecosystem growth, I think, was just barely in line with what some were modeling. How should we think, Sandeep, about the progression and drivers that will get us to your full-year GBS guidance, and what might be the greatest sources of upside?
Sandeep Aujla: Brad, thanks for your question. You know, we are off to a great start in the Global Business Solutions Group. You mentioned a 20% online ecosystem revenue growth, which is a two-point acceleration from Q4. And as we look ahead, you know, it's the same things that drove the acceleration. It is continued strong customer engagement of the platform. We saw good retention, low attrition after our price changes. We are seeing good mix shift. I shared that the mid-market grew approximately 42%, and that is driving the improvements and should continue for the remainder of the year. And we are seeing good adoption of our services. So all of those things are what we feel reaffirmed today.
Brad Zelnick: Thank you. It's very helpful. Maybe just a quick follow-up. If I look at TurboTax, marketing expense, in the quarter, I think it was up $46 million year on year. And a strategy that has you out in front of filers even earlier this year and ahead of the season, which, by the way, we see the ads, and I think they're great. Should we think about the overall strategy and expected marketing spend over the full season? Thank you.
Sandeep Aujla: Brad, as we shared previously, our strategy with the consumer group is to disrupt the assisted tax category. One of the things that we know for us, we have continued to evaluate the market is many customers make the decision on who they are going to use the following year to do their filing well before January, which is when traditionally the consumer group marketing campaigns would start. With that, and as we shared previously, we started our marketing campaigns earlier, and that has actually driven really strong consideration by what we call prior year assisted, those who got their taxes done through the system method this year. We saw strong lift in traffic and consideration, and even more so in our targeted segments that we are going after for the assisted category. So that reinforced the guidance our belief that that was a good spend, good ROI, and bolsters the confidence for the full year. You should expect us to continue to optimize the spend throughout the entire tax season, and I would expect the consumer group marketing budget should be up slightly but not more so than that.
Brad Zelnick: Thank you so much. Very helpful.
Operator: We will take our next question from Keith Weiss with Morgan Stanley. Please go ahead. Your line is open.
Keith Weiss: Excellent. Thank you guys for taking the question, and congratulations on a good start to the year. Sorry to harp on a part of the equation that's not going as well. But on Mailchimp, the churn at the lower end of the base that you mentioned on the call, I don't recall hearing that previously from you guys. So is that a new phenomenon that you're seeing in the marketplace? And on the flip side of the equation, talk to us a little bit about where we are with the integrated sort of, like, the bundled solution? It seems to make there's a lot of industrial logic behind being able to offer your customers both sort of, like, the back end and the front office solution. Together. Where are we in sort of queuing out those synergies and getting that bundle in the market and driving good results in the market?
Sandeep Aujla: Hey, Keith. Thanks for your question. Let me take it. You know, first and foremost, when you look at the Intuit Enterprise Suite, Mailchimp is actually part of that suite and available to our customers today. However, in the context of a deeply integrated experience across all of our services, I would say think about the expectation of, you know, several quarters from now, we should be in the marketplace with our, really, end-to-end experience where there's deeper, much depth in the integration of the product, and more importantly, all the data and AI capabilities that allow us to create done-for-you experiences. So think about it as several quarters. We are in sort of final stages of building it out and having customers test it. So that's one element of your question. The second element of your question is the reason we called out churn on the low end is because we've had an incredibly accelerated set of innovation on the platform, particularly for mid-market customers. Some just powerful analytics and segmentation, audience import, SMS capabilities in even more countries. And as we've done that for mid-market customers, which has actually been driving customer growth in the mid-market, it made discovery and usability tougher than it should be for the very, very small customers. And so we have a team that's really focused on first-time use and first-time benefit so that these smaller customers can get the benefit of some of these larger innovations that I just talked about that our mid-market customers are enjoying, and we just wanted to be clear and call it out.
Keith Weiss: Got it. And just to be clear, it's more so from sort of is more of an idiosyncratic issue with that innovation and not a broader market commentary or macro weakness. That sometimes you see in smaller customers and more marketing-focused solutions. It's not about the macro.
Sandeep Aujla: It is not at all about the macro. It's driven entirely by all of our innovation that is benefiting the larger customers, but, frankly, I think have an opportunity to make the first-time use for smaller customers much better, which is exactly what we're doing. But it is not macro.
Keith Weiss: Perfect. Super helpful. Thank you so much.
Sandeep Aujla: Yep. Thank you.
Operator: We will take our next question from Siti Panigrahi with Mizuho. Thanks for taking my question. Congratulations on a great start to the year. I want to dig into that online ecosystem and mainly QBO. Online accounting. Good to see that two-point acceleration. But so you guys started this mid-market go-to-market sales team hiring. So wondering where are you in terms of hiring and ramp and have you started seeing, like, the contribution this quarter from that that drove that acceleration? And if so, how should we think about the contribution for subsequent quarters? Is it something we should see now, or will it take a year for that to, you know, for the team to ramp and start contributing revenue?
Sasan Goodarzi: Yeah, Siti. Thank you for your question. Let me kick us off. You know, first of all, if you reflect back on what Sandeep talked about earlier, when you look at our overall 20% online ecosystem revenue growth, you know, 42% of that not 42% of it, but we had 42% growth when you look at our QBO Advanced and Intuit Enterprise platform and all the services that that comes with it. And we wanted to explicitly call that out because as we continue to build out our go-to-market capabilities in the mid-market, it will benefit QBO Advanced and services, and it will benefit, of course, with the enterprise suite. And so we are actually seeing the benefit now, and it's material. We've also added over 200 account managers, business development folks that are very geared towards outside selling and that is contributing to where we are today, but frankly, the biggest contribution of all those investments that we've made are to come. And so we view that in the quarters to come. And therefore, you know, if I were to put a punchline on this, the acceleration that you saw from last quarter to this quarter of 18% to 20% growth with our online ecosystem revenue growth, you know, it came from more services. It came from mid-market, which is both QBO Advanced and Intuit Enterprise Suite. It came from better retention, higher ARPC, better mix. So we're sort of clicking on all the key cylinders that strategically was communicated to you all. And we expect that to continue.
Siti Panigrahi: Thanks for the color. And quick follow-up, to your Q2 guidance for consumer. Understand that all the January quarter is a big chunk of that comes from desktop TurboTax. Understand that. But what was the promotion about? What I understand that you guys wanted to push a consumer to online but what's driving the text of promotion?
Sasan Goodarzi: Yeah. You know, it's first of all, a couple of factors. The primary factor is, you know, typically, we would do promotions from December time frame to middle of January. And really what we've aligned more so this year with our retail partners because this is TurboTax desktop. Is really the buying patterns and the buying behaviors of those consumers that buy our desktop product. What we've done is we've really lined up the promotional time frame that now starts much later in January. And goes beyond January. And that positions us better to deliver for consumers deliver for their buying behaviors, again, on TurboTax desktop. And because of that move, that really shifted revenue into Q3. Our full year is intact. And it just shifted between quarters. And we also, of course, estimate then also the timing of the IRS opening and those factors play into it. But the biggest one is what I just described. And so we feel very bullish and confident about the year and particularly because of what Sandeep articulated. We launched a lot of our lineup changes, our experiences, and our campaign, which we've never tested in the time of the year that we did this year, and frankly, we're more bullish and confident about this coming season than we have been for a while just because a lot of the results that we saw based on everything that we launched. Thank you.
Sandeep Aujla: Yeah. Very welcome, Siti.
Operator: We will take our next question from Scott Schneeberger with Oppenheimer. Please go ahead. Your line is open.
Scott Schneeberger: Thanks very much. One question for each of you, and I think they're kind of tied together. Sasan, the early marketing strategy, you know, saw it earlier than ever before that Brad brought it up when we talked about it a little bit since. It was good, but I think that you had to or you had changed that up a little bit due to NAPP and just curious if you could give us a state of the union on how you are going to market, what that campaign is, and you said that you're seeing early success. If you could just elaborate a little bit more on that. And then, Sandeep, for you, the EPS guide for the upcoming quarter, we're seeing revenue growth in the next quarter, but that is guided down year over year. So if you could just clarify it a little bit more. I think you've given us the big components, but I just if you could talk us through that a little bit. I'll turn it over. Thank you both.
Sasan Goodarzi: Yeah. Sure, Scott. Thank you for the question. Let me take the tax element, and then I'll turn it over to Sandeep. You know, first of all, from all the learnings and insights that we've had to really disrupt the assisted tax segment, one element was just really a lot more clarity and precision in terms of timing of decisions. By the customers that somebody else do their taxes for them. And that's what really drove the early marketing campaign. And there were a couple of things we were looking for. One, now that we're in market, does it raise head? Two, will people engage? And three, how much does price matter when you engage sort of preseason? I would tell you that the results were overwhelmingly positive. It raised head. It raised there was engagement better than what we thought. And price was a significant factor. In a very positive way, and that informs the campaign that we are putting together for the season. And really the campaign we're putting together for the season is really about demonstrating what a new way of taxes looks like and what it means and it will focus on experience, speed, and best price. And to specifically answer your question around what we learned, one of the biggest things that we learned in the campaign that we just ran was really the focus is about the new way. The focus is about a better experience, it's about a better price. What we learned is that we have an opportunity to continue to do that, but ensure that it doesn't come across that the experts of the old way is a bad experience because at the end of the day, experts are critical to our experience. The accountants that partner with us, a lot of them are on our platform. The twelve thousand experts that we have on our platform are the very accountants that we partner with and the thing that we learned is to ensure that we really focus on the experience, the speed of it, and the price of it and then not at all depict that the expert in the old way doesn't deliver a great experience or is not a good expert. So that's the learning. That we've had. That's what we are incorporating as we look at the campaign that we're developing. I will just end with the punchline that it worked really well and we're super excited about it. Before I turn it over to Sandeep, I wanted to just use this opportunity since you asked about tax to just address something that I know is on the mind of a few folks, and opportunistically, if I could address it. And that was some of the new news this week around the new administration and whether or not they would create new tax software. Or free tax software. And I just wanted to touch on that while I have the floor. First and foremost, I am personally engaged with the new leaders and the new administration coming in. And what I would share with you is a couple of key priorities that I think all of you have seen in the news, but I personally also learned that really matters to the new leaders and new administration coming in. One is being very aggressive on budget cuts. And workforce reduction. This really streamlined the operations of the government. Two is to really look at the regulatory environment and to reduce the regulatory environment that ultimately will benefit consumers and businesses. Third, we do it's fraud whether it's from identity theft and or loans. And then last but not least is if there's an opportunity to actually simplify the tax code. I'm actually excited about those priorities because those are all priorities that we can help as a company. I would tell you that the last thing that sort of is on the minds of the new leaders coming in is adding to the bureaucracy. And adding to the investment level of something that already exists in private industry. So when it comes to free tax software, as you all know, our stance is it already exists. Private industry has free software available to all Americans. Our perspective and my learning in terms of what's most important. The last thing that the new folks want to do is to add to that bureaucracy and to add investments in an area where the offerings already exist in private industry already serves it. With all that said, free is available to all consumers. And if tomorrow five new free tax offerings become available in the market, it does not have an impact on the structure of the market because free is a commodity for the do-it-yourself category. So I want to just opportunistically touch on that while I have the floor. Sandeep, I'll turn it over to you on EPS.
Sandeep Aujla: Sure. Hey, Scott. On the EPS, one thing to keep in mind is that we always optimize our spend for the full year and we continue to feel really solid about our guidance for the year. And as I look internally, how we are leveraging AI and how we work as a company, I see tremendous opportunities for us to continue to expand our margin. Now let me address your question on Q2 specifically. This is a continuation and all on strategy on the things that we talked about as it relates to Q1. In the consumer group, we have continued our marketing opportunities. Historically, they would have started in the January time frame, and now they're starting they're continuing through November and December, which wasn't there the past year. Credit Karma is in a very different position this year. Last year, Q1, we were negative 5%. This year, 29%. We're seeing partners lean in, we are also leaning into our go-to-market and our marketing campaigns there and seeing exceptionally strong ROIs and payback periods there. And lastly, in the Global Business Solutions Group, we touched on the approximately 200 people that we have in the mid-market. You know, so that's now in our run rate from Q1 heading into Q2. You know, of course, we'll scale that only as we see ROI and payback periods that are palatable to us. But the other thing on the Global Business Solutions Group to keep in mind is last year, the campaigns took us a little longer to come into market. This year, our campaigns were ready earlier, and the team decided to go into market earlier because there were opportunities for us to get even better ROI by optimizing that spend through all four quarters. As opposed to last year when we leaned in more towards the January busy season. So those are again, your key takeaway should be all of this is in line with our strategy. And we continue to have lots of confidence in our full-year path to margin expansion as a company.
Scott Schneeberger: Great. Thank you both for all the color and, Sasan, for that extra color. I'm very well put.
Sasan Goodarzi: Thank you very much.
Operator: We will take our next question from Raimo Lenschow with Barclays. Please go ahead. Your line is open.
Raimo Lenschow: Thank you. Thanks for the clarity from me as well, Sasan. My question is on the payment. If you look at the payment volumes, yeah, if I heard you correctly, it was 17% decelerated a little bit. Can you talk a little bit about the puts and takes there? Because, you know, obviously, you revamped the payment platform. And so, you know, that should be an area of healthy growth going forward as well. Like, how do I have to think about that number? In that context? Thank you.
Sasan Goodarzi: Yeah. Thank you for the question. A couple of things I would say. One, our momentum around our innovation around money. And payments being one, you know, element of it. Continues to be an area where we're very bullish, particularly as we penetrate with services, not only with small businesses but also in mid-market. There were a couple of factors that played into the 17% for the first quarter. One is the storms on the East Coast. Actually impacted a lot of service-based small businesses. Saw the impact, and we actually saw it start to come back. So that's one element. And also another element is just the number of days that fell into this quarter versus the same quarter last year. So those factors played into it, and expect it to, in essence, accelerate as we look ahead.
Raimo Lenschow: Okay. Perfect. And then the other question I had was as you kind of said earlier, Sasan, you're kind of now, like, you know, more an AI platform. If you think about tax season or QB and the QBO business as well, how do you think about, like, the next iteration for how you weave that into the product to kind of keep the customer longer in the funnel, etcetera? Is there any big changes we can expect for the tax season? I'm not asking you to kind of fill it out. But is there, like, do you think about that evolution of weaving that into the product? Thank you.
Sasan Goodarzi: Yeah. Great question. You know, first of all, just briefly start with the context of, our entire strategy as a company is to create done-for-you experiences. Marketing is done for you. Quote to cash is done for you. Your books are done for you. Your accounting is done for you, your taxes are done for you, and connecting you to financial products that are right for you as a consumer are done for you with the customer always in control. And always in the path to an AI-powered human expert. That's the fundamental essence of our strategy to serve consumers, small businesses, and mid-market customers and the whole premise of our investments around data and AI has been towards that. You asked about tax, but let me just start thirty seconds with our excitement around Intuit Assist, in essence, done-for-you experiences being available to all of our business customers now. It has been an incredible amount of work, and the reaction from our small businesses has been overwhelmingly positive. You know, today, now all of our small businesses can take an email. They can take a picture of a handwritten note. They can take any file and we will create on their behalf an estimate, an invoice, a bill, we will do the accounting for them in the background and match and categorize everything for them. We will ultimately help them if they're a construction company on the road. Tax to pay for the handwritten note that you just took a picture of and get paid right there on the job site. Be able to help them with where they're gonna have cash flow shortfalls and make it immediately a line of credit. That's now all Intuit Assist. The Gen AI-powered assistant that will do the work for our customers is generally available for all of our customers. That's a huge deal. You can imagine, as we look ahead, our goal is to create a done-for-you experience across the entire platform, across Mailchimp and QuickBooks and all of the services. To answer your question around tax, I think what I would say is you will see this year, based on all of the investments that we've made over the last several years, leveraging data and AI to dramatically streamline experiences by how we leverage data and how we streamline getting right to the refund. It'll make it far more superior and easy. Our focus is the best experience, the fastest and at the best price for those that want to do it themselves. But also for those that want our experts to do it for them. So our are gonna be far more effective in addition gonna be able to get your taxes done in less than an hour. At the best price, all of which is the result of all of the data and AI investments and revamped experiences that we will have in season this year.
Raimo Lenschow: Good. Looking forward to that. Thank you.
Sasan Goodarzi: Thank you.
Operator: We will take our next question from Taylor McGinnis with UBS. Please go ahead. Your line is open.
Taylor McGinnis: Yeah. Hi. Thanks so much for taking my question. So if I look at the operating margin guide for the second half, it looks higher than what you guys have done in past years. So when we just think about the seasonality of this year's because compared to some past years, is the messaging that is that, you know, you're seeing more front-end loading of expenses compared to last, and that should drive stronger growth in the second half. Maybe you can just talk about some of the drivers in the second half expansion, you know, despite some of the continued scaling on the go-to-market investments in other areas? Thanks.
Sandeep Aujla: Sure. Hey, Taylor. So the investments that we started early on, both on the consumer side, as I shared, that drove a lot of head lifters with the prior year, assisted that you know, came to our side. So that is something that will pay dividends as we get into the tax season. The sales force that we are building in mid-market can imagine building hiring those two hundred people. There's a training component to it. There's an efficiency component to it, but that Salesforce gets more and more effective week by week by week. So that helps drive more dividends as we get into the back half. And then on the Global Business Solutions Group, the team looked at the spend and is optimizing the spend to drive consideration, drive people and customers into the platform that then will add on services. And as you know, from having followed the company for a long time, services take a while to ramp up as they onboard their employees as bring their payment volumes onto a rails. So it is all consistent with our strategy, which is to optimize the spend to match to that the trajectory continues to strengthen into the back half.
Taylor McGinnis: Perfect. Thank you so much.
Sasan Goodarzi: Thank you.
Operator: We will take our next question from Michael Turrin with Wells Fargo Securities. Please go ahead. Your line is open.
Michael Turrin: Hey. Great. Thanks very much. Appreciate you taking the questions. So, Sasan, I'm gonna give you a chance to go back to assist. We've seen the QuickBook announcements as well. Was hoping you could just level set for us how you're thinking about capturing the value of those, whether it's through monetization or just other costs or economic benefits you're observing as you start to get those tools in the hands of more of your customers.
Sasan Goodarzi: And, Michael, are you referring to the Intuit Assist that we just announced this week? Is that what you're referring to?
Michael Turrin: I am. Yep.
Sasan Goodarzi: Got it. Yep. Absolutely. So I would say, you know, the biggest thing that we learned having this in the hands of, you know, two million customers before we made it generally available and also, experiences that we had in beta alpha for new prospects there's really, I would say, two big outcomes improved conversion improved retention, and, really, a third outcome, which is improved adoption of services. Those are and those if you think about back to what Sandeep and I shared, I think it was eighteen months ago at investor day, our perspective around creating done-for-you experiences with Intuit Assist believe will lead to new customer growth, it'll lead to higher adoption of services and we believe over time, there could be offering stand-alone SKUs that are completely they do all the work for you and they could be separate price SKUs. What we've proven so far to ourselves is this creates new customer growth, it could create better retention, but also creates better adoption of services. So like, if you think about what we just launched this week, which is you can take an email, a photo of a handwritten note or a file and create an estimate, an invoice, and create a bill, that all drives bill pay and payments. Growth as an illustrative example. So those are the things that we've learned as we've been sort of in beta and alpha and now that we're in GA, particularly what we expect this coming season in TurboTax new customer growth, adoption of our services, is what we see as the outcome and why we're so excited as we look ahead.
Michael Turrin: Great. If I can just ask on the Credit Karma bounce back, I don't based on what you're seeing, is there any way to help just split how much of that is macro versus something product-specific you've maybe incorporated into the experience there and maybe just help level set what you're seeing today versus what you're guiding for the rest of the year given the fiscal year guide now sits below the run rate you just put up this quarter? Thank you.
Sandeep Aujla: Yeah. Absolutely. Michael, I would you know, if a blend of both. If I had to attribute it, I'll say it's fifty-fifty now. On the personal loan side, having a more stable rate environment absolutely helps, and we saw partners lean into testing and lean into lending on the platform. But it's also try to goes to the team the product team and the go-to-market team at Credit Karma as an investor into driving the right experiences and driving engagement across the platform. And as they added more segments such as the insurance segment, which has been quite strong starting Q3 last year, I would say it's a blend, and I would probably blend it at about a fifty-fifty mix.
Michael Turrin: Helpful. Thank you.
Sandeep Aujla: Very welcome.
Operator: We will take our next question from Alex Zukin with Wolfe Research. Please go ahead. Your line is open.
Alex Zukin: Hey, guys. Thanks for taking the question and congrats on the results. Sasan, I wanted to get your take on just the notion and the topic of what you're seeing in your business right now from an SMB demand environment perspective, kind of are you starting to see the beginnings of a recovery? How and when do you expect that to show up? And on the very fast-developing agendaic opportunity for kind of AI utilization, monetization in your customer base. When do you believe or strongly think we should start seeing impacts from a monetization standpoint, both with Assist around either does it change the magnitude? Does it change the strategy? Over the next few quarters?
Sasan Goodarzi: Yep. Great. Thank you, Alex. For the question. I'll take the first one I would say a couple of things. One, it's a stable environment. Our belief, which is not baked into our guidance, is that we will see an improved environment as we look ahead in 2025. Hear just what some of the things that I mentioned earlier around just interest rates, jobs, you know, the regulatory environment, you know, these things have a real burden on businesses, and we believe that, you know, a better future is to come. None of which we're baking and assuming, but important to say. So stable. We believe the future will be better and I would just end by saying really, the growth that we are experiencing. If you look at our overall guidance for the year in our business franchise of 16 to 17% and then the 20% online revenue growth that we delivered in Q1 and that we would expect, you know, the rest of the year. That's all because of the power of our platform and the innovation on our platform that is actually saving customers money because they're digitizing their entire business and are able to run and grow their business in one place rather than multiple apps where they don't they spend a bunch of money. They don't really understand how their business is performing. And we're digitizing that with our platform. And so our growth that you are that we're reporting, that you're experiencing is all because of our innovation. And we believe that as things demand starts improving, we think that will be impactful positively to our results. The second element, you know, of your question, you listen, our core thesis that we have proven over the years and particularly internally as we just launched Intuit Assist and made it generally available to all, is that the more we can do the work for customers, the more we will drive new customers into the franchise. The more we will drive penetration of services. And if you look at Intuit Enterprise Suite, you know, the biggest thing that we're learning from customers is they love the experience. Our AI agents are doing the work for them, helping them understand the performance of their business, helping them provide insights into things that may happen and actions that they do they should take. Those are all our AI agents. And we believe our AI agents can ultimately do, you know, the enable them to do the work of a CFO, of a CMO, of a sales officer, all of these midsize businesses. And to get to the essence of your question, we haven't baked any of that into our year. We believe that these are gonna be contributors of growth into the future, and, of course, our desire is accelerating growth.
Alex Zukin: Very helpful. And then maybe just a follow-up for Sandeep. So is it as simple to say basically that the maybe slightly smaller earnings beat that we're typically alright. That we keep it typically see when you have revenue outperformance to the magnitude that you've shown and the guide for Q2 on earnings being a bit lighter than consensus, is that just effectively mostly associated with the timing of incremental spend for some of your newer initiatives. And some of the hiring from a go-to-market perspective. Is that is it more just shifting timing to the first half to Taylor's point?
Sandeep Aujla: Alex, that's exactly right. We always have sometimes things if you remember last year, Q1, we had some items move out of the quarter. This year, we had some items move in. We saw opportunities in areas such as Credit Karma to, you know, lean into investments earlier than we would have just given the behavior we were seeing from the partners. So all to say, we opt again, we optimize spend for the year. And when we saw revenue uplift, I gave it a little bit more flexibility to lean into Q1.
Alex Zukin: Perfect. Thank you, guys.
Sasan Goodarzi: Yep. Thank you, Alex.
Operator: We will take our next question from Brad Reback with Stifel. Please go ahead. Your line is open.
Brad Reback: Great. Thanks very much. Sandeep, in the quarter, money represented well over half of the growth in online services. Should we expect that to continue here for the rest of the year? Or will the next shift?
Sandeep Aujla: You know, Brad, we don't, of course, guide by age subsegment, but we could feel very, bullish and confident in our money strategy which includes, of course, payments, bill pay, and capital. The momentum you pointed out, has been strong in Q1 and expect that to continue throughout the year. And, you know, what I would point you back to is that confidence. Our utmost confidence in the 20% online ecosystem growth for the year as we can continue to scale the business, and the money portfolio is gonna be a key contributor is a key contributor to that confidence.
Brad Reback: Got it. And just one follow-up. Given Sasan's comments on Mailchimp and your comment right there in the overall confidence in the 20%. It would feel like the recovery in Mailchimp is more a driver next year, than needed for this year.
Sandeep Aujla: I would think about the Mailchimp as a several-quarter journey. We really want the team to nail the first-time use experience. We have internal KPIs all around customer behavior and all related to FTE first-time use, FTU, what we call internally. So, yes, that's something that you know, we are being patient with because we wanted the team to focus on the customer experience, so that's not something that we are banking on, you know, for the conference I shared in the 20%.
Brad Reback: Awesome. Thanks very much.
Sandeep Aujla: Very welcome.
Operator: We will take our next question from Brent Thill with Jefferies. Please go ahead. Your line is open.
Brent Thill: Thanks. Sasan, just on the mid-market, I you mentioned a couple of in one of the deals in the earlier remarks. But I'm just curious if you can give us more of an update in terms of, you know, where you're at, kind of mile markers, and I think there's some fear among investors that this is a much lower margin business. This is gonna require a heavier lift in a different And So if you could just comment on that on how you spell long-term dynamics of that plays out.
Sasan Goodarzi: Yeah, Brent. Thank you for your question. I in fact, I would say it's the reverse. It is very high margin, very lucrative, high ARPC, and it's very similar to, I think, the concerns investors had four, five years ago when we talked about disrupting the assisted category. And how we would do that given we're talking about experts. And I would tell you that the answer that we gave then and the answer I'll give you now, there are a lot of parallels. The essence of our scale is because of all of our data and best platform services. When you look at QBO Advanced and Intuit Enterprise, Suite, it's actually fueled by a lot of the platform services that we have built over the last several years. And therefore, when you look at the only thing that we are sort of adding is a couple of hundred folks that are in sales to really capture the opportunity. The effectiveness and the efficiency that we have on the other side because of data and AI is significant. And so this is actually quite lucrative. It's very high ARPC. It's not only new customers but existing customers upgrading. The service opportunity is massive. So when you look at the fact that it's a platform driven by all the services that we already have coupled with higher ARPC, it's actually far more lucrative. Than just when you look at our QBO base. So we actually expected to play a dual role. Number one, to continue to accelerate our growth as you heard Sandeep talk about earlier. Overall. Online revenue growth was 20% and advanced and enterprise suite are growing 42% along with the services. That actually has even a second benefit, which is higher contribution over time to margin. So it's actually the reverse of the concern that you articulated, very similar to when we shared in a couple of investor days ago, that the variable margin of, our TurboTax five was actually higher. Than just the TurboTax on its own. We believe the same will play out here.
Brent Thill: Great answer. Thank you.
Sasan Goodarzi: Yep. Thank you.
Operator: We will take our next question from Mark Murphy with JPMorgan. Please go ahead.
Mark Murphy: Thank you very much. On the QuickBooks Enterprise Suite, it's clearly showing robustness. Sasan, how's the early response you're seeing if you can speak to the $20,000 ARPC I mentioned earlier because you had mentioned a couple of, I think, surprisingly large customer wins. On the call today. And I'm just wondering if you can comment on the response to some of the advanced functionality that relates to multiple locations and entities and consolidated segment reporting.
Sasan Goodarzi: Yeah. Mark, the way I would answer your question is I know, frequently will engage our large accountant and accounting firms and these large businesses, and I had the pleasure and the opportunity to engage a lot of them in a couple of day bear period very recently at Intuit Connect. And, listen, I don't want to downplay what I'm about to say, but money is actually not the object. Here. These businesses, you know, when I spoke to the CFOs of these businesses or the owners of these businesses, the words that they use is you've changed my life as a business. This is a game changer. For really two, I would say, significant reasons. You know, one, can actually see how their business is performing. So put it aside that they go from days of trying to consolidate and understand how their business is performing to now minutes, but knowing how their business is performing every day. Having insights and recommendations from us to inform their decisions is actually quite significant. The other is when you go from using multiple apps and point solutions everything is in one place, the amount of digitization that happens across all of your money movement, whether it's bill pay, whether it's payments, whether it's payroll, and having all of that inform your dashboard every day is a complete game changer. So the biggest thing that we hear from them is actually about more things they would like to see and from new customers that are in sectors that we don't yet serve. How can we serve them far more quickly because they're dying to get on into an enterprise suite? So that's the way I would sort of describe the reaction. The other thing that we're working on, and I'll just end with this, is making sure we also provide capabilities to fuel the success of accountants. And our sort of monetization model for accountants that not only is good for them, but good for us to really together be able to serve the market together. And we're excited about both.
Mark Murphy: Thank you.
Sasan Goodarzi: Yep. You're very welcome.
Operator: And that is all the time we have for questions today. I'll turn the program back to our speakers for any additional or closing remarks.
Sasan Goodarzi: Alright. Well, awesome. Thank you. Listen, everybody. Thank you for your time. Thank you for all your questions. Be safe, and we'll see you soon. Bye, everybody.
Operator: This does conclude today's program. Thank you for your participation, and you may now disconnect.
Kim Watkins: Goodbye.